Operator: Good afternoon and thank you for holding. My name is Sherry, and I will be your conference operator today. Welcome to Joby Aviation's First Quarter 2022 Conference Call. At this time, all parties are in a listen-only mode. As a reminder, today's call is being recorded and a replay of the call will be available on the Investor Relations section of the Company's website.  Please note that some of the Company's discussion today will include statements regarding future events and financial performance, and statements of beliefs, expectation, and intent. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to the Company's filings with the SEC and the Safe Harbor disclaimer contained in today's Shareholder Letter. The forward-looking statements included on this call are made only as of the date of this call and the Company does not assume any obligation to update or revise them. This call will also include references to the Company's adjusted EBITDA, which is a non-GAAP financial measure. A reconciliation of this non-GAAP financial measure to the most direct comparable GAAP measure is included in today's Shareholder Letter, which will be posted on the Company's website at ir.jobyavaiation.com. On the call from management today are JoeBen Bevirt, Founder and Chief Executive Officer; Paul Sciarra, Executive Chairman; Didier Papadopoulos, Head of Aircraft Development and Manufacturing; Bonny Simi, Head of Operations and People; and Matt Field, Chief Financial Officer. After their prepared remarks, we will open the call up to analysts for questions.  I will now hand the call over to Mr. Bevirt.
JoeBen Bevirt: Thank you, operator. Good afternoon everyone and thank you for joining us for today’s call. While it's only been a short time since we last spoke, we have made a substantial amount of progress, and I'm really excited about the pace at which we are moving. We continue to execute against our plan and we remain on-track to meet our operational goals and spending guidance for the year. You might have caught the recent 60 minute segment that focused on eVTOL technology and Joby in particular. While it was great to introduce our aircraft to Anderson Cooper and to share our story with millions of viewers at home, it was a comment from the Acting Administrator of the FAA that resonated most with us. He said and I quote, ''We want to be very careful. We want to be very measured, but you're absolutely right. This is real, and this is happening.'' And that's exactly in the mindset that continues to guide us here at Joby. There is plenty to do. We need to do it in a professional, mature and thorough way. And the opportunity is substantial. Before I hand it over to the team, I'd like to touch on three particular highlights from the quarter. First, our aircraft. As well as continuing our test program with our pre-production aircraft, both in the air and on the ground, we have made excellent progress with the build of our first production intent aircraft, which is scheduled to be the first to roll-off our pilot manufacturing line in Marina, California. The majority of the large composite parts for this aircraft were completed during the first quarter, and we began work on the tail and wing structural assemblies. Both of these aircraft will play a critical role in our certification campaign and we’re really pleased with the progress we are making there.  Second, I was able to travel to the UK and Japan during the quarter. There is no doubt that both countries have really leaned into deploying this technology in their markets. The conversations we are having with regulators in these countries about routes to certification and initial operations are very positive and leave me incredibly excited about their potential. In the UK, I had the opportunity to visit the [Wood Laboratories] in Cambridge as part of the World Economic Forum event with Prince Charles and the UK Secretary of State for Business, Kwasi Kwarteng. Prince Charles is showing real leadership on this topic and the UK government's commitment to aggressively fund climate neutral aviation technology development via the Aerospace Technology Institute underlines their intention to be global leaders in this field.  In Japan, I had the opportunity to see the incredible work Toyota is doing to support our manufacturing. Along with the resources they have deployed here in California, they are an invaluable partner as we look ahead to scaling our production. We also had very productive conversations with JCAB Japan's equivalent to the FAA.  While I'm on the topic of our international partners, I should also mention that we were able to add TMAP to our partnership with SK Telecom in South Korea. TMAP is the country's largest mobility platform and the unprecedented amount of transportation and mapping data that gathered over the past 20 years will play a key role in informing the design of a compelling service in Korea.  Finally, we are thrilled to be able to release the results of the acoustic testing that we completed with NASA last year. Measurements obtained by NASA across six days of flight testing show that the real life performance of our pre-production aircraft match both our predictions and our targeted goals. You can read more about the acoustics of our aircraft in our Letter to Shareholders. But during overhead flight, the aircraft registered equivalent of 45 A-weighted decibels from a distance of 500 meters, which we’re confident means it will be barely perceptible when flying over cities. And across multiple takeoffs and landings, which were representative of our planned operation, it registered below 65 dBA at a distance of a 100 meters from the flight path. Meaning it's as quiet as a conversation during the loudest phases of flight. And while it's easy to talk about decibels, this doesn't capture the quality of the sound. We purposefully designed our aircraft to avoid the penetrating low frequency wok-wok we associate with helicopters. And instead mimic this broadband sounds we find in nature like the wind rushing through trees.  It's hard to overstate how important this achievement is to Joby's vision. Aviation noise is a key concern for millions of residents around the world, but we have demonstrated how Joby is uniquely positioned to deliver flights exactly where people want them without having a negative impact on our environment. And the numbers I spoke about aren't theoretical numbers. They aren't predictions that may or may not pan out. These are actual results from the full scale vehicle in the real world, validated by NASA. And I'd like to say a huge thank you to the team at NASA for working with us to measure our aircraft; and of course, to the team at Joby for working so hard to achieve this goal. It's yet another example of how our incredible team delivers on the goals we set ourselves, day in and day out. In a moment, I'm going to hand it over to the Didier to talk about the progress we've made on certification during the quarter. But first, I'd like to address the commentary we've seen this week regarding the certification basis for eVTOL aircraft. We're proud of the fact that Joby has a 10-year history of working with the FAA, under leadership from both sides of the aisle and under the guidance of a number of different FAA administrators. We share their vision for reaching the next level of safety and efficiency. And we support them in their goal of demonstrating global leadership in how new customers and technologies can be safely integrated into the aviation system. We are in active conversations with them about the most expedient route to certifying our aircraft. And we would note two important things they've said this week.  First, that all of the development work done by current applicants remains valid. And second, that they don't expect any change of approach to add delays to type certification or operational approval. On that basis, we're not providing any change to our guidance, and we remain heads down focused on doing the important and necessary work to certify our aircraft.  With that, I'd like to hand it over to Didier, who is going to take us through the progress we made during the quarter. Didier has spent more than 15 years helping to develop and certify dozens of aircraft systems, including projects for Part 23, general aviation aircraft, as well as Part 25 business jets, and Part 27 and Part 29 helicopters for both commercial and defense programs. I couldn't imagine anyone better to be leading our work in this area.  Didier over to you.
Didier Papadopoulos: Thanks for the kind words, JoeBen, and hello, everybody. As JoeBen mentioned at the top of this call, we continue to make tangible progress towards type certification. That’s a certification that covers the aircraft. Over the last quarter, we've moved from close to 70% of our means of compliance accepted by the FAA to close to 80%. And we have submitted the vast majority of the remainder to the FAA for the review and approval. As a reminder, the means of compliance identifies the steps we will take to demonstrate compliance with the certification basis identified for our aircraft. And each means of compliance agreed is a step towards being ready to complete formal for credit testing with the FAA.  What comes after the means of compliance in the certification process are the Area Specific Certification Plan. Here, we get even more specific about how we'll demonstrate that compliance, translating the means into certification plans that detail the exact testing and analysis we intend to use. This is where most of our efforts have been focused and over the last quarter, we've also made great progress here. We recently had our first Area Specific Certification Plan accepted by the FAA, having become the first eVTOL company to submit one back in March. We've since submitted a further two plans and have the majority of the remainder ready to submit as soon as the relevant means of compliance are accepted.  But it's worth noting that different parts of the aircraft can be in different stages of the certification process simultaneously. It's also possible to begin work on the next stage before receiving FAA sign up on the previous one. And that's exactly what we do at Joby. We always want to be ready for the next stage of the process before it happens. We remain focused on certifying our aircraft expediently and through working with the FAA along the way. That's part of what makes Joby a specialty team. And it is what has helped us get to the leadership position we're in today. We think ahead and work ahead, building the capabilities in house and testing them to make sure they're ready before we need them.  In February of this year, we announced that we've begun coupon level conformity testing with the FAA. This marked our first step into the formal implementation phase, where we started to compete for credit tests. But we've also started developing test plans and procedures in several other areas, and then running them to prepare for formal testing. For example, we've recently run tests associated with our equipment, environmental qualifications, our nose landing gear loads, and our electrical wiring robustness.  We've also been able to make really important progress on developing and testing various production-intent parts. As well as manufacturing the majority of the large composite parts for our production-intent aircraft, we've also manufactured several more copies to be used for testing and for additional airplanes in parallel. Similarly, we've built several design-intent powertrain and electronic components during the quarter, including our first design intent EPU, or electric propulsion unit, which has already logged an equivalent of more than 600 flight hours on a dedicated test track.  Furthermore, our ability to deliver a volume of production-intent parts is not only essential to being able to progress in that implementation phase, but it truly sets Joby apart. We cannot test what we cannot build. And we don't believe anybody else is in this position today, consistently building parts that are designed for a production aircraft.  Before I end, I'd like to close with one other key success from the quarter. And that's the successful completion of our first familiarization meeting with the FAA’s AED, or Aircraft Evaluation Division. This is the theme that makes sure that the aircraft we're certifying is actually suitable for real world operations. In other words, they make sure that all this effort is worth it and will result in an aircraft that's suited to our incredible mission. We had a great first set of meetings with them this week. And it looks like we're absolutely on the right track to bring together our aircraft manufacturing with our operations.  And on that note, I'll hand it over to Bonny to talk more about our progress with Part 135. Bonnie is not only the Former President of JetBlue Technology Ventures, but she also has decades of operational and strategic experience in the airline industry, having served in a variety of roles from being a captain at United Airlines to Head of Talent at JetBlue. Bonny, over to you.
Bonny Simi: Thanks Didier and hello everyone. Just like the work that's going on with our type certification for the aircraft, we're beginning to reach the execution phase of the process with our Part 135 operations certification for our on-demand service. As a reminder, we require a Part 135 Air Carrier Certificate to operate our aircraft as an air taxi service. Alongside the type certificate and the production certificate, it's one of the three regulatory approvals we need to launch sustained commercial operations. We kicked off the Part 135 process in June of last year and completed the second stage of the process in August, having written more than 850 pages of operational procedures across more than eight manuals. And as of today, all of those manuals have been reviewed and accepted or approved by the FAA.  In March of this year, we confirmed that we had entered the fourth of five stages of the process. And I'm pleased to say that we expect to complete this phase during the second quarter, followed shortly thereafter by the fifth and final stage culminating in our formal approval of our 135 Certificate. As is our philosophy at Joby, we are always looking for ways to de-risk what we're doing. That's why we have gone through the process of the Part 135 now, rather than waiting until we have our production aircraft ready. Doing so will allow us to prepare and test our airline operations ahead of our commercial launch and we'll be doing that using conventional fixed wing aircraft. It was therefore great to see our Chief Pilot, Garrett Smith become Joby's first fully qualified Part 135 check pilot during the quarter. He then led the training of our initial cadre of four Joby pilots, including myself who are all now qualified to fly our Cirrus SR22 aircraft immediately once we receive our 135 Certificate.  Over the coming months, we will use this capability to exercise the operations and customer technology platforms that will underpin our multimodal ride sharing service, while also testing and enhancing our processes and procedures for safe and customer-friendly operations. And we look forward to sharing the outcome of these operations with you in due course. I'll now hand it over to Matt to discuss our financials.
Matt Field: Thanks, Bonny. Good afternoon and thanks for joining. As of the end of the third quarter, we had $1.2 billion in cash and short-term marketable securities, providing a solid foundation for our operations. In the first quarter of 2022, we incurred a net loss of $62.3 million, reflecting a loss from operations of $94.3 million and other income of $32 million. The loss in operations included stock-based compensation expenses of $19.4 million, which included both ongoing accounting for employee equity, as well as new performance-based stock units introduced in 2022 to align employee incentives, with delivering key corporate objectives for this year.  Lastly, and similar to the fourth quarter of last year, the favorable results in other income reflected the gain on revaluation of our derivative liabilities for $16.8 million and income from our equity method investments of $14.5 million. Adjusted EBITDA, which as a reminder is a non-GAAP financial measure that we reconcile to net income in our Shareholder Letter was negative $69.7 million. This was $32 million higher than the first quarter of 2021 and $4.5 million above the fourth quarter, primarily reflecting the continued growth in personnel to support our operations to over 1,100 employees, and R&D costs associated with building prototype parts, where we continue to make progress as highlighted by Didier.  Cash used in operating activities and purchases of property and equipment totaled $72.3 million. Our statement of cash flow, which only focuses on the change in cash, cash equivalents and restricted cash reflected a total cash outflow of $537 million as we invested a significant portion of our cash reserves in short-term investments and marketable securities, during the first quarter. This concludes our prepared remarks, and we will be happy to take any questions you may have regarding our operations in the first quarter of 2022. Operator, would you please instruct participants on how to ask questions?
Operator: Yes. Thank you. [Operator Instructions] Our first question is from Christine Liwag with Morgan Stanley.
Christine Liwag : In the past week, there were reports of an unexpected development from the FAA that they are modifying their approach on eVTOLs. Because regulations designed for traditional airplanes and helicopters did not anticipate the need to train pilots to operate Powerlift, which is when you have -- you take off in helicopter mode, transitioning to an airplane mode for flying in transitioning back to helicopter mode for landing. But it's also sounded like the FAA suggested that this change is unlikely to impact timelines. With close to 80% of your means of compliance now accepted by the FAA, can you comment on how this regulatory shift affects you going forward? What would you need to change? And how could this potentially affect your timeline?
Paul Sciarra: Thanks a lot for the question, Christine. This is Paul. I think that fundamentally the approach that the FAA is taking here is really mostly one of the administrative reclassification on the type certification side of things. So as JB said at the outset, we don't believe that this is going to have any impact on our certification timeline. And there's certainly no adjustments that we're making to our guidance as a result. And he highlighted a few I think of the important points that the FAA themselves made on this.  The first is that all of the development work done by current applicants remains valid. So all of the work that we've done on MoCs and other things is going to continue to be important for the program, even despite this change. And I think second, you highlighted already. Any changes to the regulatory approach should not delay the projects. That's what the FAA said. So we continue to view this as a positive sign that the FAA is sort of leaning into this.  And to that point, the recent approval by the FAA of our first ASCP, which Didier mentioned at the outset. We see that actually as a sign of that the pace of progress hasn't slowed down, and that the FAA is continuing to provide the resources to move our type certification process through the program. So fundamentally, we think that this is, as I said, largely an administrative shift that's unlikely to impact our timing for the certification.
Christine Liwag : Thanks, Paul. That’s really helpful. Appreciate the color. And maybe as a follow on Didier. With the 20% that you have been in discussion with the FAA, can you give us some sort of detail in terms of what's left to do? And then also in terms of the powered lift portion, is that part of the 80% you already agreed upon with the FAA, or is that part of the 20% that we're still waiting on?
Didier Papadopoulos: This is Didier. So back to the 20% here for a minute. As noted in the earlier comments, the majority of those 20% have already been submitted to the FAA, and we're making great progress towards getting the vast majority of our MoCs completed by the first half of this year. So we have a plan and the FAA has been supporting according to the plan, I'm very optimistic with the progression there. As it relates to the Powerlift and specifically the 20% that you mentioned, the regulations like Paul and JoeBen said, there are regulatory aspects applicable to our means of compliance and cert basis have not changed. So for all practical purposes, we are continuing to execute on our cert basis, and if FAA has been supporting, just as such. 
Operator: Our next question is from Bill Peterson with JPMorgan.
Bill Peterson: I guess my first question is related to coverage you have overseas, and some other partners that you have, Korea and Japan. Can you shed more light on you’re going to execute, are these going to be sales or even do operations? Just help us out on understanding how that's going to play out?
JoeBen Bevirt: Thanks a lot for the question, Bill. It was a little bit hard to hear you. I think it was broadly about our partnerships announced in South Korea and Japan, is that correct?
Bill Peterson: It is. And I think this -- I guess how we should think about that from what will be sales or -- I know you guys still want to be operators, but just how the ownership structure would work and any additional details you can share there?
JoeBen Bevirt: Thanks a lot. Yes. So our approach is, as you noted, a little bit different than some of the other folks. We want to not only build the aircraft, but also operate the aircraft and deliver that service kind of more directly to end customers. But our approach in the U.S. is going to be -- I think what this is really about is finding the right partners that are going to fit around that operation. So SK in South Korea, certainly ANA in Japan, we think are the right partners to help support what those launches might look like. So it's not a change in strategy, it's really announcing the right set of partners to successfully execute on a commercial launch in one of those countries.
Bill Peterson : Okay. Thanks for that. I guess if you could give some sort of sense -- this is for Matt, just trying to give us some sort of sense of how we should think about spend, OpEx as well as CapEx here in the current quarter? And then I guess, how we should think about how that progresses through the year?
Matt Field: So, I shared, our cash in terms of net operating activities and CapEx at $72.3 million. And Joe mentioned, it’s in track -- on track with our guidance of $340 million to $360 million. Clearly, if you multiply that number times 4, you get to a lower number. And so you should really think of us as ramping up spending really around two things. One, as we build out our team, so we will continue to grow our team to support certification and manufacturing most principally, but then also as we finish off completing our manufacturing at our pilot plant facility. So, continuing to build the equipment as we finish out our capacity.
Operator: Our next question is from Edison Yu with Deutsche Bank.
Edison Yu: First, wanted to follow-up on the FAA topic. So I understand you're saying that there's really no delay to the type certification. But wondering if the changes have any sort of impact on the timing of the operations? Is there any -- do you see any sort of impact there either for yourself or for the industry more broadly?
Bonny Simi: Thank you, Edison. This is Bonny. And this -- the way we're looking at the operations and FAA even stated that they aren't anticipating any risk adding any delay to the certification or operations. We're also thinking very broadly in terms of long-term in terms of the pilots on the training programs. And just as we're building out our 135 program well in advance, we're also building out all of our training programs, which allows us to build a basic foundation to make any adjustments as necessary, as any kind of training regulations evolve. And our training program is very robust, because we are already partnering with the DoD to validate that training. And we had the -- as Didier mentioned earlier, the AED, the Aircraft Evaluation Division was here with us this week. And part of their mandate is to observe how we are thinking about our training program, how we are thinking about our operating program, we had very good discussions on this very topic. So I'm very confident that the process we are putting in place will serve us quite well as these regulations evolve, if they do at all.
Edison Yu: Following up on a different topic on the flight testing, what's your sort of latest plan for the rest of the year? And what are you sort of hoping to learn, accomplish with the next few quarters of flight testing?
Paul Sciarra: Thanks for the question, Edison. This is Paul. So, we already mentioned I think on the last call that we have restarted the flight testing program. And we continue to see sort of good progress on that front. But honestly this year, when we think about the use of the aircraft, it's really not so much for internal flight testing purposes at this stage. We had an opportunity obviously to start our flight testing program way back in 2017. In turn last year, we mentioned that we did sort of a 1,000 flights, demonstrating the range of the aircraft, the low noise signature of the aircraft, and in turn doing that at altitudes that are representative of normal operation. So, we feel like we've checked a lot of really important boxes in terms of our internal flight testing evaluation.  What the work with the aircraft this year will look like is actually doing operations in conjunction with our ongoing contracts with the DoD. So that's going to be the focus of the flight testing program, and the use of the aircraft as we think through the majority of this year.
Operator: Our next question is from Andres Sheppard with Cantor Fitzgerald. Please proceed.  
Andres Sheppard: Good afternoon. And congrats on the quarter. I just wanted to follow-up a little bit on the certification process. With now close to 80% of the means of compliance being accepted, I'm wondering is that in some ways -- is that ahead of schedule relative to your expectations now that it's only 20% left? I know you had said 2022, and I'm just wondering where in the first half of the year, it seems like most of the progress there has already been achieved. So, how should we think about this remaining 20%?
Didier Papadopoulos: Yes. Thank you for the question. This is Didier. Obviously, we are pretty excited and thrilled for having achieved close to 80% of the means of compliance, big thanks to the team for all the efforts going into that. Further beyond that means the compliance, of course, we talked about sort of the next step of this is submittal and acceptance of the area specific cert plans, and three of these having been submitted now and one accepted, which is a really amazing achievement. I'd say we are laser-focused on the target, the plan we are on target, on plan. We are super excited about the progress there, and I think we are going to continue to be consistent in delivering along that plan.
Andres Sheppard: Got it. That's helpful. Maybe a question for Matt. And this is, maybe piggybacking from Bill's question earlier. In terms of the OpEx, right? So guidance is unchanged. You mentioned recently that you kind of expect it to ramp up quarter-after-quarter. I'm just wondering, should we account for any seasonality in the OpEx, just to kind of reconcile and be within that guidance that you provided or like just any color you can kind of give us from a modeling perspective, I guess?
Matt Field: So I wouldn't say there's necessarily seasonality, because our staffing levels will grow quarter-over-quarter-over-quarter. There may be some lumpiness around our purchase of equipment that could affect a quarter. And then obviously, there's things that affect any company, your fringes, your personnel taxes and your 401(k) match things tend to be more frontloaded than backloaded just because of how those work. But fundamentally, I would think of kind of sequential growth across the year as we bring on staff.
Andres Sheppard: Thanks, Matt. And maybe one last one if I may. With the continued supply chain disruptions that we've seen, the prices of batteries have started to kind of move in the opposite direction. Now, I realize you guys are vertically integrated, which in this case would seem like a better strategy. But I'm just wondering on a macro level, how should we -- what are some best practices that you can implement to hopefully try to mitigate some of that supply chain disruption? Do you expect to be affected by the prices of batteries going up? And if so, what are some things that can be done to kind of prevent or mitigate that?
JoeBen Bevirt: Thank you, Andres. This is JoeBen. A couple of different dimensions to that question. On the first point on -- in terms of battery supply, we have had the fortune of working with some fantastic battery suppliers for many years now. We have longstanding relationships, and we have a large supply of cells in-house that will carry us through for quite a while now.  Second, on your question around the cost on batteries. We -- there's two dimensions to that. The first is how the cost of batteries reflects on the BOM cost, the cost of building the aircraft when they're first manufactured. And we can think about this in the frame of reference of a ground EV, where the batteries is a substantial portion of the cost. For our aircraft, the cost of the battery is a much smaller portion of the total BOM cost. And so we're not as sensitive there.  As a result, we select batteries which might cost a little bit more on the upfront, but which have much longer cycle life. And as a result, because we are both the manufacturer, but also the operator, we -- what we really care about is being able to deliver the lowest possible prices for our customers. And to do that, we selected long cycle life batteries. And as a result, as we've previously noted, we've demonstrated more than 10,000 representative flight cycles on the cells. And as a result, the battery -- the cost of the batteries is -- the battery cost as a portion of our operating costs is quite small. 
Operator: Our next question is from David Zazula with Barclays. 
David Zazula: I think it’s for Didier and JoeBen. There have been a number of peers that have discussed where they are in the design review process. Could you give us an update on the -- where you are in the design review process? Clearly, the fact that you're manufacturing some parts is a pretty strong statement in and of itself. But maybe discuss some of the parts that you may be holding back on from the manufacturing standpoint, as you go through your design review?
Didier Papadopoulos: This is Didier. If I were to describe where we are in the process, I probably want to focus first on the typical development process goes through the PDR, CDR through the TC cycle, while we have chosen Joby to marry the cycle with a more of an agile iterative development cycle. The reason we did that is it allows us to go through design development testing very quickly. And as we do that we iterate and we close that feedback loop into the design so that we can mature it at a faster pace and at multiple levels throughout the overall aircraft series of systems. And so as you mentioned, as you might imagine, right now we're at a mature design cycle where we're building the production-intent aircraft.  I mentioned earlier in the introduction that we are developing production-intent components throughout all of our systems, particularly some of the airframe parts, the electronics parts, the electric propulsion unit, as well as the electrical wiring system. So I would say through that, that we are well into the mature phase of our design process, as you can see here.
David Zazula: And then last quarter, you were limited in your comment as far as the accident that occurred during prior flight testing. And if you're able to comment any more, I think the investigation is still in progress phase. So you may not be able to. But if you can discuss what influence you've seen on your current flight testing and how you've changed or what benefits you're seeing?
JoeBen Bevirt: Yes, thank you. So we -- as you rightfully note, this is an ongoing NTSB investigation, and so I can't comment directly. I would like to highlight some of the elements that Paul spoke about. Very, very pleased with the results that have been released on the acoustic profile. Our testing with NASA was -- and the results there are really remarkable, also demonstrating the speed, the range, the altitude. Basically, we're checking boxes across the board. And our flight test program has really shown that we're delivering on every element that we're committed to. And what that means is that we're -- the aircraft we're building is going to deliver a huge amount of value to our customers.  With regard to the accident and we think that there have been really valuable learnings and we will take those but we do not expect them to have any material impact on our program or on the aircraft design.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to JoeBen for closing remarks.
JoeBen Bevirt: Thank you operator, and thank you everyone for joining us today. Our team at Joby is laser-focused on execution. I think you have seen that in our execution this quarter across all of our areas, certification, production and commercialization, and you are going to see that as we move into this next quarter. Really appreciate everyone for joining us today. And can't wait to talk to you next quarter. Thank you so much.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.